Operator: Thank you for standing by ladies and gentlemen, and welcome to Tsakos Energy Navigation Conference Call on the Third Quarter 2016 Financial Results. We have with us, Mr. Takis Arapoglou, Chairman of the Board and Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer and Mr. George Saroglou, Chief Operating Officer of the company. At this time, all participant lines are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise that this conference is being recorded today. And now, I pass the floor to Mr. Nicolas Bornozis, President of Capital Link, Investors Relation Advisor of Tsakos Energy Navigation. Please go ahead sir.
Nicolas Bornozis: Thank you very much and good morning to all of our participants. This is Nicolas Bornozis, of Capital Link Investor Relations Advisor to Tsakos Energy Navigation. This morning, the company publicly released its financial results for the third quarter of 2016. In case you do not have a copy of today’s earnings release, please call us at 212-661-7566 or e-mail us at ten@capitallink.com, and we will e-mail a copy to you right away. Please note that parallel to today’s conference call, there is also a live audio and slide webcast, which can be accessed on the company’s website on the front page at www.tenn.gr. The conference call will follow the presentation slides, so please we urge you to access the presentation of the webcast. Please note that the slides of the webcast will be available as an archive on the company’s website after the conference call. Also, please note that the slides of the webcast presentation are user-controlled, and that means that by clicking on the proper button, we can move to the next or to the previous slide on your own. At this time, I would like to read the safe harbor statement. This conference call and slide presentation of the webcast contain certain forward-looking statements within the meaning of the safe harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties, which may affect TEN’s business prospects and results of operations. Such risks are more fully disclosed in TEN’s filings with the Securities and Exchange Commission. Ladies and gentlemen, at this point, I would like to turn the call over to Mr. Takis Arapoglou, the Chairman of the Board of Tsakos Energy Navigation. Mr. Arapoglou, please go ahead, sir.
Takis Arapoglou: Thank you Niko. Good morning and good afternoon to everyone. Thanks for joining our call today for the presentation of our third quarter 2016 results. Despite the challenging period in the market that spanned from the end of the second quarter to the best part of the third quarter, TEN has delivered again a positive quarter result. The usual summer seasonal factors, the new additions to the global fleet and the shortcomings in the oil supply depressed spot market revenues for the quarter. In addition, the redeployment and dry docking of our past major earner, the LNG carrier Neo Energy and a series of four scheduled dry dockings impacted directly the bottom line. Yet, despite all risks TEN managed to deliver a profitable quarter, our results of incremental revenue from the deployments of the new 2016 deliveries a further increase in the percentage of the fleet under Time Charters and a substantial further reduction in fleet operating expenses. The recovery of the market in the current quarter find TEN firing again on all cylinders and very well positioned to benefit from the additional seven new deliveries in 2017, six of which are already under long-term accretive contracts. We expect 2017 on average to be broadly similar to 2016 in terms of efficiency and stability of performance positioning TEN perfectly for the stronger market that we anticipate thereafter, principally due to lack of growth in the order books from new assets. So, for yet another quarter, congratulations are in order for Nikolas Tsakos, the management team and everyone at TEN for a great performance in steering successful the company through quite challenging patch and into a period of sustained growth and profitability to the benefit of your shareholders. Thank you for me. And now over to Niko Tsakos.
Nikolas Tsakos: Thank you Chairman and good morning to all of you. I think as the Chairman said that the third quarter was a challenging quarter mainly because of disruption in the movement of growth together with the seasonal low, we have -- we faced a weak market, however TEN with our business model being more long-term was able again to continue our profitability and maintain our uninterrupted dividend distributions which have been going on since the inception of the company. What makes us optimistic going forward, is the quick reaction of the market, the way the market rebounded almost to 2015 levels as soon as the disruptions of -- the supply disruptions of crude came back in the market. So, this shows that the market is well balanced and every barrel and every ton counts and we’re looking forward of enjoying a significantly stronger fourth quarter with -- or looking at the futures of the market it seems it’s going to spin over in big part of 2017. At the same time we are glad that our very exciting LNG segment, we had the deliveries since we last spoke of the Maria Energy and their immediate charter, so both our LNGs are being employed in a market that is still suffering where utilization is close to 50%. So we were able to get the 100% utilization on the LNG segment. Also I am very proud about our 96 plus percent utilization in a very weak third quarter, including the positioning of our assets and of course scheduled dry dockings -- four scheduled dry dockings. We are looking at the future, we are building the company for the future, as the Chairman said by the middle of next year we will have completed the majority of our new building program and if the supply which I think is very difficult were right now to change the supply of tonnage for 2018 and 2019 which are in very, very low at the historical low levels, we expect to have the company ready full-fledged and build up to take advantage of that market. So I have to say we are gradually optimistic going forward. And we are enjoying the strong stock market as we speak today. And with these I’ll ask our Chief Operating Officer to tell us what happen, George, operation wise and then Paul will give us view on the figures. Thank you.
George Saroglou: Thank you Nikos. The company reported today another profitable quarter and results for the nine months. 2016 is a landmark year for TEN as its growth program being the largest since inception in 1993, is coming to fruition with 8 out of 15 new building vessels already delivered and earnings income for the company. The third quarter is typically a slow demand quarter for tankers, however this year the softness in grade was more pronounced. Despite that the overall picture for the year is positive, as rates have been significantly above the cyclical lows of 2010-2015. As expected, we have witnessed the markets rebound in the fourth quarter with VLCCs earning currently $50,000 per day, Suezmax is averaging 38 and Aframax is in excess of $33,000. With the low all in breakeven spilt that TEN owns this freight rates, this freight numbers are fine, but as we move further into the winter season and next year we expect freight rates to move even higher levels. For those of you who are connected through the internet and our website there is an online slide presentation the format of which we would follow during the call. Turning to Slide 3, with the key global highlights. 65 vessels pro forma fleet with 57 vessels currently in operation. Average age of the fleet 7.7 years versus 10 years for the whole tanker fleet. Balanced employment strategy that takes advantage of market fix with profit sharing arrangements. Currently 39 vessels on secured employment with average Time Chartered tenure of 2.8 years. Modern diversified fleet covering client transportation requirements in crude products, shuttle tankers and LNG, highly efficient operations with consistent high fleet utilizations, 96.3% for the third quarter of 2016. The next slide has the main financial highlights of our press release, which Paul will present in more detail. I would like to just highlight the profitability and the company’s strong financial position. Slide 5, we have again the fleet the 57 vessels that we have which operate in crude products, shuttle tankers and LNG. We took deliveries during the quarter of three new buildings, two Panamax XLR1 vessels and one Aframax tankers. We also announced today the delivery of another Aframax tanker, the fourth in a series of nine we built for Statoil. In the last twelve months, TEN took delivery of eight new building vessels and two modern Suezmax. All new building vessels were delivered with long employment attached ranging from 3 to 12 years, including charter renewal options. Next year we expect to take delivery of seven new building vessels, five Aframax tankers, one Suezmax shuttle tanker and one VLCC. With the exception of the VLCC which is currently under negotiation for charter, the rest of the vessels have employment of minimum 5 year that could go to 12, with charters renewal options. In our LNG fleet we took delivery of our second new building LNG vessel Maria Energy in October. The vessel commenced immediately in medium terms Time Charters with escalating rates reflecting the markets expected improvements. The company’s first LNG vessel Neo Energy is also chartered for the next 1.5 years in a floating storage content. Slide 6, We have the clients of TEN, which are all blue chip names, and with whom the company is doing repeat business over the years thanks to the quality of service, fleet modernity and the safety record of the enterprise fleet. Slide 7 shows the breakeven course for the various vessel types that form the enterprise fleet. The cost base as you can see is low, as TEN builds most of the fleet before the rise of new building price. The purchasing power of TCM and the stringent cost control by management which reduces fleet operating levels must also be highlighted. 66% of the remaining available days of 2016 have been fixed and 60% of the 2017 fleet operating days are also book forward. The next Slide, tell us about the market. Oil demand continues to grow and according to the latest from the international energy agency the average growth for the year, is 1.2 million barrels per day. The same average growth number is forecasted for next year. Both of these numbers are good for the business. OPEC is producing at record levels, 33.8 million barrels per day was the production number in October. Production in Nigeria and Libya finally recovered after September and flowed from Iraq exceed all time high levels. The production recovery in Nigeria and Libya is especially positive for tankers as both countries are main loading areas and lack of cargos or continued disruptions have been responsible for recent weak rate environment. We await the results of OPEC’s meeting tomorrow, however it seems that there is no agreement as we speak within OPEC and with the main non- OPEC producers, so any potential production cuts or production fees that will be decided, could have little market impact as the current product base is at record high levels and implementation of fast production cuts have not been fully materialized. Lower oil prices continue to support strong demand especially in United States of America, mainly consumer demand, China consumer demand and stockpiling for strategic reserves in India. Looking at the supply Side on slide 9, the tanker order book is coming is down with new building vessels expected to be delivered between the start of the year and the end of the first half. However, a big part of the existing fleet is over 15 years. The implementation of new environmental regulations with high compliance course and charter discrimination against all that tonnage could lead to an increase in scrapping. Far Eastern shipyards are restructuring and reduced capacity while availability bank finance is very selective and shrinking. We have seen no significant orders for delivery after 2018, which is 40 for freight rate and the start of another up cycle for tankers. We announced today in Slide 10, our next dividend of $0.05 per share which will be paid on December 22, to the shareholders of record on December 16. In total since 2002, TEN has paid $10.41 in cash dividends or approximately 440 million and this compares with a listing price of our IPO of $7.50. So the average yield since the IPO has been 5.25% per annum. In addition, the company has repurchased stock worth $103 million since our buyback program started in 2005 with approximately 21 million during 2016. That concludes the operational part of our presentation. Paul will walk you through the financial highlights for the third quarter and nine months of the year. Paul?
Paul Durham: Thank you, George. Quarter three was a difficult quarter, partly in line with seasonal expectations, but exasperated as the Chairman has said, by increased vessel capacity, production disruptions and reduced refinery output. With 60% of our fleet employed on Time Charters and the rest fully employed our operations were able to provide a net income of $2 million before preference dividends. Nine months net income was $44 million. The LNG carrier Neo Energy underwent a dry docking brought forward to prepare for its storage charter starting late October. Together with the soft LNG market, this prevented the vessel in doing any substantive employments in the quarter, in contrast to the previous quarter three. However, the new vessels added over the prior 12 months generated enough net income in quarter three to more than compensate for this. From September 30, to the end of 2017, another 10 vessels would have joined our fleets or bar one with Time Charters. The overall daily average TCU rate in the nine months was $20,800 while in quarter three it was $17,600. The majority of the larger crude vessels generated revenue close to or comfortably above breakeven. Panamax rates remain steady, as all these vessels are on Time Charter, some at very strong rates. While Handymax daily earnings we’re just short of breakeven. Handysize vessels however, we’re nearly all on the spot market and their rates languished accordingly. Although they covered the running cost, they brought the fleet average TCU for the quarter below the otherwise level of $21,000 per day per vessel. While such rates put some pressure on our cash flow we were still able to achieve more than overall breakeven, keep healthy cash balances and maintain a strong balance sheet as we enter the winter period with a much stronger crude market. Our operating expenses have been held down, daily average OpEx per vessel for quarter three fell 6% to $7,620 due to continued efforts by our technical managers to manage the vessels more cost effectively, this has been helped by further economies of scale as the fleet grows and by the impact of modern designs and technology providing our new vessels with lower running cost. In addition, daily overhead costs per vessels at $1,250 remained low by industry standards. Finance cost increased mainly due to new debt per vessel deliveries and increases in LIBOR and because in the prior quarter three, further non-recurring $3 million gain on a prepaid loans. In quarter three we grew 149 million debt and repaid 118 million debt. So total debt outstanding at September 30, was close to $1.6 billion and net-debt-to-capital was at 49%. Since September 30, we have taken delivery of three new buildings and drawn down 150 million debt, plus a further 15 million pre-delivery finance for vessels under construction. There are seven vessels under construction, both for delivery in 2017 with $287 million remaining to be paid of which $224 million will be arranged debt. And this concludes my comments and I’ll pass it back to Nikos.
Nikolas Tsakos: Thank you Paul. And again well done giving another profitable quarter regardless of difficult market conditions, I think our aim is to continue building the fleet big and quality fleet, keep the operating expenses and I think we had a reduction of operating expenses by 6%, that shows that our management is able to react very quickly when the market is not on our side and I think we have to comment our technical managers on that. We are closing right now -- we are at 60% of coverage in our fleet, I think before the end of the year we will be able to announce another three or four vessels with long term employments, we are negotiating so we could finish the year with 65%, and then as the vessels come, the scheduled vessels with long term employments, our first next delivery is our VLCC, the Hercules in the middle of January in Korea and I have to say there is a lot of interest for employments for that very similar to her sister vessels which has started out for four years. Other than that all our other vessels have long term employments, so we are looking for -- 2016 has been a very constructive year for the base of the company building the base. 2017 we will complete the building of the company and I think 2018 and going forward we will be able to take advantage of the good solid base with our first class quality assets charter to all the major oil companies. So we are looking at the future optimistically, the spot market that has surpassed us very positively and it has shown that the market has legs, right now it has -- we are not far from the levels over a year ago and it seems it's growing, winter has not yet hit hard here in Europe, and expect it to be quite a cold winter and with that we hope to be able to have better news for you for the whole year and then for the first quarter. And with that I’d like to open the floor for any questions. Thank you.
Operator: [Operator Instructions] Your first question today is from the line of Jon Chappel from Evercore. You line is open.
Jon Chappel: Just two for me today, first one is one the dividend. So you been really consistent since the beginning of 2013, kind of slow and steady with the dividend, good markets and bad. And then little drop here in the third quarter which is understandable given the third quarter weakness but a little bit surprising given your prior consistency and you’re optimism on the future, not to mention all of your fixed back log, with the new build Time Charters coming. So can you just talk a little bit about why the down draft in the third quarter and how we should think about the dividend strategy going forward?
Nikolas Tsakos: A very point Jon, if you look back -- if you look on Page 10, we have a dividend. In 2013 we were down to $0.09 for the year, we increased from $0.09 to $0.13 -- sorry $9 million, we went to 13 million, we went to 21 million and right now we’ve -- so we have been going -- we have been increasing it steadily in small amounts. We had to react I would say to what was happening around us in the environmental with all our peer group and I think it is a reaction to a slow quarters. So we’d never felt comfortable on paying out more than we could earn in this quarter. But again this we hope to be able to increase it, if the market continues.
Jon Chappel: So then if you had to adjusted then to the third quarter, should we think going forward that it’s going to be, kind of volatile from quarter to quarter depending whether the seasonality in that quarter or the cyclicality of that part of the cycle or should we think kind of like a return to the consistency that you just mentioned in 2013 up until the last quarter?
Nikolas Tsakos: I would like to believe that this could be -- if the market continues to show the performance it has, this could be the lowest part of the dividend and then increasing. As you know we, the management is the major shareholders of dividend, it’s very important for overall of us, it’s an important factor. We see eye-to-eye with the investors in this, but of course on the other hand we cannot in a market that had the third quarter that was very poor, we did not feel comfortable and if you have -- I’m sure you’ll look that all our peer group, they have slashed either their dividend down to zero or give a much smaller dividend. So I think we took the judgment of following what the others, the market is doing, but hoping from that will be -- to be able to build on top of this.
Jon Chappel: All right, my second one Nik is also for you. We read a lot about these regulations and as the Chairman of INTERTANKO you are probably even more in tuned with them than any of us. So can you just talk about the costs that you envision for your fleet associated with both ballast water treatment and the new sulfur emissions over the next couple of years and how you think that may develop then both your fleet directly from a cost perspective, but then also potentially creating a two tiered market in the next couple of years?
Nikolas Tsakos: Well, yes this we could have a conversation that will put the rest of the callers to sleep I think, because it’s very technical, but it is very, very important with the way the market is going. Let’s go into the dirty water ballast treatment which still we do not have any providers approved by the U.S. coast guard which is a very large market for us and we have to find someone to use as a provider from now until September. I think the negotiations that we as owners are having with IMO and the coast guard is that we will be required to have the system, whatever that system will be implemented on our vessels in the next really five years. So that gives us time, the technology right now is that around I would say just under a $1 million the existing technology, it’s an untested technology. I think by in the next five years, and that’s why you will see perhaps a lot of companies going out and patching their special survey from now until September over the ship in order to get -- to gain those five years, this is what we’re planning to do. So, we might have a little bit more pressure on the cash flow because some of the ships will be passing special survey in cooperation with our charters. I believe that from now in five years, technology will be much cheaper than it is today, more advanced. So, I would estimate $0.25 million per vessel after five years. I think that’s where we expect the dirty water ballast technology to be, which is a significant amount, but it’s not unbearable for ship. So, if you have to do today this, it would be $1 million and for a simple -- for 60 odd vessels that we have, it was going to be a very big hit, not only for us, but all the peer group. And I think most of the peer, the owners will be taking these measures.
Jon Chappel: Right.
Nikolas Tsakos: And again, I repeat there is no approved technology. So it’s really very hard for anybody to start doing things on ship. And because it might end up doing the wrong thing that will not be approved. So that’s where we stand with that. With the sulfur content for 2020, the majority of our fleet is on time charter, so a lot of the obligation of the fuel will be on the charters -- for the charters. The charterers are the major oil companies, so they can provide bankers much easier than the owners can. So I think that will solve -- we strongly believe that there will be enough fuel and fuel additives or diesel to cover that in four years. But we do not -- however, I would say that if we would be looking for a new building going forward today, we might consider having the option of a scrubber on the ship. I don’t want to put everybody else to sleep, a scrubber is technology that actually you make your own ship into a refinery. I think this is the wrong thing to do, ships are not refineries, they visit refineries every time, but I think the market will work -- it’s very similar to many, many years ago, 30-40 years ago when unleaded fuel for cars started, people would say where we are going to get the unleaded fuel, but now it's a reality. So it’s really for modern ships like ourselves, I think we will find the solution with the charter scale.
Jon Chappel: Okay, very helpful. Thanks a lot Nik.
Operator: Your next question is from the line of Noah Parquette from JPMorgan. Your line is open.
Noah Parquette: I just wanted to ask about your cost that’s come down quite a bit for days rate basis. Just talk a little bit more about what's driving that, is that more modern ships in your fleet, is there anything you are doing operationally, and can we expect this going forward?
Nikolas Tsakos: Yes thanks Noah. I think the stronger dollar has helped and is going to helps us again even because for the first nine months, the effect of the dollar is not felt, is not as big. But I think as we go forward the stronger dollar is going to help Paul?
Paul Durham: Will helps us keep across down.
Nikolas Tsakos: Yes, will help us --.
Paul Durham: Well actually there hasn’t been much of a decrease, we’re not at a stable level with the dollar And hopefully it will -- the dollar will help in future months.
Nikolas Tsakos: So I think strong dollar will help us on that of course young ships have less demands for maintenance and I think that that’s another factor. And we are working, we have own hands management, I mean we run everything from the same office that we are taking to you today. So we have own hand management and try to keep expenses low. So it's not that our technical managers are located somewhere in the far east and we talk to them once a day over the phone, I mean we just -- we kick the tyre as we say literally and we can see our technical manager smiling here because of -- frankly we kick a bit too hard the tyre and try to keep operating expenses low.
Noah Parquette: Okay, and then I just wanted to ask about that table you have laying out the order book versus ships older than 15 years. And we haven’t seen a lot of scrapping and the scrapping that has happened is has been above that age. Do you expect scrapping to pick up next year, do you expect the average age to decrease, what's the sequencing and how the cycle plays out and when you see scrapping pick up?
Nikolas Tsakos: I think the question we had this also, there will be effect from the question we discussed before which had to do with the new technologies that are required in the ship. So dirty water ballast treatment. So for a lot of people when the ship is going to be 15 years old, it would be passing the third or due to passing the third special survey, might not want to spend capital of million dollars in own a 15 year old ship. So we expect scrapping to increase. Yes, that’s the short answer.
Noah Parquette: Okay. Thank you.
Operator: Next question is from the line of Michael Webber from Wells Fargo. Your line is open. Michael Webber from Well Fargo, your line is open sir. Michael Webber from Well Fargo, your line is open sir. Okay, no response. So next question is from the line of Spiro Dounis from UBS Securities, your line is open.
Spiro Dounis: Nik, maybe this one is for you. We’re hearing that, some of the energy majors are getting a little nervous, that the order book actually is looking so light in 2018, obviously they require newer ships a lot of the time and so I think what we’re hearing is that they’re actually pushing for more orders to get placed. Just wondering given that make up a lot of your customer base. Are you starting to see those sort of in bound increase coming in or any notable change?
Nikolas Tsakos: Well I cannot say that we see orders from the majors, of course they are looking to owners like ourselves and our peer group to come up with vessels. But of course it has to make sense and that’s on long term business. So the truth is we’re seeing a lot of requirements for long time charters, which is something that makes sense and it’s very true to the way we run the company, we look at it as an industrial company that has a big part of its business, as I said 60% of our business as going forward in 2017 and known is already chartered out, I hope by the end -- before the end of the year with the market helping right now, that it will be closer to 65% and we will reach 70% with the deliveries of the new ships. So we are seeing oil companies understanding that the market will be significantly better in the second part of 2017 and ’18 and ’19, because there is not really any others out there.
Spiro Dounis: Okay and then just in terms of share repurchases I know it’s, never really been a big part of your capital return strategy, but just I guess, with the dividend now sort of cut back a bit here and your share price where it is, just wondering how you’re thinking about your appetite to repurchase shares here? I know I think you listed the program up a quarter or two ago, may be balancing that with listing the dividend backup going forward?
Nikolas Tsakos: Looking that, we have spent in excess of $100 million in the recent times buying back shares. It doesn’t help very much our share price, we spent more than $20 million in buying back the shares that we issued against purchasing of the two VLCCs. We issued those shares at around $10 and we’ve were able to purchase in the mid -- in 5.5, so we felt that was a good investment. Priority will be given to dividend and after that of course when our new building program ends which is in the third quarter of 2017, we will consider buy back.
Spiro Dounis: Okay last one from me, just around the Hercules, it sounds like is in the middle of negotiations now, so suddenly don’t want to get ahead of ourselves. But just in terms of the tenure may be, how we should be thinking about, is a more along the lines of one year time charter that maybe bridge the gap to better times or are you actually looking to do something a little more longer than that?
Nikolas Tsakos: We have offers -- a lot of offers on the table ranging from one year up to 12 years that we’re negotiating, such it’s a good -- it’s a quality problem to have at this space and always we wouldn’t mind since the 12 year charter is a first class with a major company. As long as we can convince them and we’re getting there for a short of a minimum profit share, we would rather look at the longer period. But that’s where we are.
Spiro Dounis: That’s certainly a good problem to have. Appreciate the time guys, thanks you.
Operator: [Operator Instructions] Your next question today is from the line of Ben Friedman from Morgan Stanley. Your line is open.
Ben Friedman: Just a few questions, most have already been answered, but just first on relatively housekeeping issues. What’s your remaining CapEx for in ’16 and ’17?
Paul Durham: We have $287 million still to pay. And that will pretty well all be within 2017. Of that $224 million will come from debt and the remainder from cash.
Ben Friedman: Great. Thank you. And then I guess just one question, so it seems as though you just locked up the Maria Energy and exercised the options there. I’m just curious on your prospects for this market. It seems as though it’s going through gradual improvement, but I’m curious to see your thoughts here and how this chartering process whether there is been more excitement around the space?
Nikolas Tsakos: Yeah. I mean we believe in the future of gas as a major commodity that will be carried by ship. So, I think -- and its importance will be growing and that’s why we have investment in this in a small way. We had a diversified company of Energy Company and the same way we have VLCCs and then product carrier, crude carriers we are looking at the LNG segment. And we believe that this market will move and as long as our clients are looking for vessels with long-term employment, we will invest in this market further. We don’t have any immediate plans, so I think right now we have our handful of -- we’re in the middle of our growth program. We have our essential with our deliveries and as soon as we finish with that we will be looking to expand on the LNG segment. So, our aim is to have a dozen of those ships I would say in the next four years or five years with long-term employment.
Ben Friedman: Thanks so much guys.
Operator: And no further questions at this time. Speaker, please continue.
Nikolas Tsakos: Thank you very much for your time and as we have said, it has been a challenging quarter, but it has been also interesting because it is always a challenging quarter that helps you and helps the company readjusted its cost structure and that’s what we have done in a major way. We are preparing the company in a fourth, what we believe are going to be better days in the fourth quarter and first quarter and in general in 2017. And we’re looking for -- thank you for your support and hopefully our share price will finally react to where this company is going. Mr. Chairman.
Takis Arapoglou: Well, thank you, all. We believe that this is stellar performance considering the times we’re in. Personally, I feel that the market continues not to distinguish among sectors in the shipping world and among the companies within the sector. Then continues to maintain its long-term stability attributes and profitability. And I certainly believe that the share price has quite a way to go to reflect the reality of the quality of TEN amount. So that’s it from me and congratulations to Nikolas Tsakos and the team.
Nikolas Tsakos: And the team will be in New York for Capital Link Event in two weeks, and we will be happy if anybody would like to ask face to face questions, so we will have the team there. Thank you very much. Thank you.
Operator: Thank you. That does conclude the conference today. Thank you all for participating and you may now disconnect.